Operator: Greetings. Welcome to the Sirius XM First Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to introduce Hooper Stevens, Senior Vice President of Investor Relations and Finance. Thank you, Hooper. You may begin.
Hooper Stevens: Thank you and good morning everyone. Welcome to Sirius XM's first quarter 2025 earnings conference call. Today we will have prepared remarks from Jennifer Witz, our Chief Executive Officer, and Tom Barry, our Chief Financial Officer. Scott Greenstein, our President and Chief Content Officer, and Wayne Thorsen, our Executive Vice President and Chief Operating Officer, will join Jennifer and Tom to take your questions during the Q&A portion of this call. I would like to remind everyone that certain statements made during the call might be forward-looking statements as the term is defined in the Private Securities Litigation Reform Act of 1995. These and all forward-looking statements are based upon management's current beliefs and expectations and necessarily depend upon assumptions, data, or methods that may be incorrect or imprecise. Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. For more information about those risks and uncertainties, please use Sirius XM's SEC filings and today's earnings release. We advise listeners to not rely unduly on forward-looking statements and disclaim any intent or obligation to update them. As we begin, I'd like to remind our listeners that today's call will include discussions about both actual results and adjusted results. All discussions of adjusted operating results exclude the effects of stock-based compensation. Additionally, we have posted a supplementary presentation on our investor relations website for your convenience. With that, I'll hand the call over to Jennifer.
Jennifer Witz: Thanks Hooper, and good morning, everyone. Thank you for joining us today. Q1 marked our first full quarter since unveiling our new strategic direction and sharpened focus on super serving our core in-car audience at Sirius XM. We are already seeing early benefits from these efforts, as reflected in our solid first quarter results. Given our momentum and despite broadening economic uncertainty, we're pleased to confidently reiterate our full-year guidance today. Across the business, we remain dedicated to our 3 key pillars, enhancing our subscription business with a keen eye toward our in-car leadership, leveraging the strength of our advertising business across our portfolio, and optimizing efficiencies to deliver both cost reductions and higher returns. Diving into the first quarter, our subscription business delivered strong results with solid year-over-year improvement in self-pay net ads driven by positive trends within our in-car business, which offset an expected reduction in streaming net ads. We saw reduced in-car churn largely due to lower cancel demand and non-pay, despite the full price rate increase we implemented in early March, and signs of declining U.S. consumer confidence. Even in the face of economic uncertainty, our business remains resilient, buoyed by our industry-leading customer satisfaction and the essential nature of our service to our core subscriber base. Underpinning everything we do is the unique live and human-curated content we offer our subscribers, which fuels fandom and the must-hear moments that happen on our air every day. Our coverage of and presence at every major sporting event from the Super Bowl to March Madness and our exclusive music channels, including pop-ups curated by the biggest artists such as Lady Gaga, bring fans closer to what they love. Additionally, our wide variety of news and politics programming where we're seeing double digit listenership growth and our new talk programming, including the launch of shows featuring Alex Cooper's Unwell and Page 6, deliver value to our subscribers that they simply cannot get on any other service. We will continue to leverage the power of our extensive live and on-demand catalog as we look to both showcase our value to current subscribers and introduce new listeners to our portfolio. Our efforts to add more value across our packages are paying off. Many of our subscribers are now enjoying the additional channels and programming newly included in their plans, and time spent listening in our app, where we offer even more content, has increased year-over-year among in-car customers. We believe this led to the better than expected reaction to our rate increase, which impacted virtually all full price plans as we experienced minimal churn impact. We have also made progress rolling out our new in-car pricing and packaging structure. This strategy, along with additional actions taken last year, has reduced our reliance on discounted promotional pricing and acquisition while improving price transparency, building brand trust, and driving our highest quarterly customer satisfaction on record. New programs launched over the past several months, including Tesla, enhancements to our used car owner data, and our multi-year OEM subscriptions, which continued to expand, launching in model year 2026 Ford and Lincoln vehicles later this year, also led to improved in-car acquisition in the first quarter compared to last year. These programs give us confidence our strategy is working as we continue to unlock opportunities to grow within our core audience segments. We are committed to ensuring we provide the right offerings for our customers and are focused on both enhancing the value of our higher priced tiers and introducing additional options for more price conscious listeners. This includes the launch of an ad supported subscription featuring a compelling subset of our music and talk programming, which will open up a new persistently lower priced option in almost 100 million cars already on the road. The new tier allows us to leverage the strength of our advertising business without putting our more premium tiers at risk. The opportunity here also grows as our fleet becomes increasingly IP enabled. We remain on track to have more than half of new Sirius XM equipped cars featuring our 360L product this year, allowing us to further customize offerings for our subscribers across content, marketing, and advertising. We plan to begin testing early iterations of this new subscription in the coming months, enabling us to hone the offering and bring to market the strongest package. This is another way we are working to showcase the value of our service to potential subscribers, building upon the work we've done to date with both free access, which continues to expand, and are free to air events, which included Chris Stapleton Radio broadcasting free to all Sirius XM radios throughout February. On the topic of advertising, ad revenue was mostly flat as compared to the same quarter in 2024. While we are closely watching day-to-day changes in the marketplace, the flexibility and broad reach of our offering allows us to meet the evolving needs of today's advertisers. This is best represented by the launch of our Creator Connect solution, which allows marketers to tap into creators audiences across audio, video, and social. In the first quarter alone, we have already outpaced our full-year 2024 bookings for social and video and see this as a continued growth driver. In Q1, our podcasting revenue was up 33% year-over-year. Our podcast network clocked close to 1 billion downloads across audio and video in the first quarter, and we now reach an audience of 70 million monthly podcast listeners. Our expertise in monetizing digital ads supported music within Pandora provides a strong basis for the opportunity ahead as we look to expand Sirius XM advertising. The ability to deliver audiences across broadcast, streaming, and podcasts inclusive of video and social makes us a unique one-stop shop for marketers, and we are continuing to invest in ad tech solutions to make it easier for advertisers to buy, plan, and measure across all 3. At a corporate level, we remain committed to optimizing the business and driving efficiencies. In addition to ongoing cost actions, we are testing a variety of new initiatives for savings and growth. We continue to see strong potential in areas such as AI where we're leveraging the latest technologies to improve the customer experience, our marketing, and our ads business. In closing, while we are watching the shifting economic forces closely, we are pleased with our first quarter results and continue to have confidence in our full-year guidance today, as well as in our ability to deliver meaningful value to consumers across our business in the quarters to come. With that, I'll pass it over to Tom.
Tom Barry: Thank you Jennifer, and good morning everyone. As Jennifer mentioned, we entered 2025 with clear priorities. Our first quarter performance reflects our disciplined, execution, and steady progress across the business. Despite the headline-driven market uncertainty, we delivered strong margins, returned capital to our shareholders, and advanced our strategic initiatives that will position us for a strong 2025. Before I dive into the quarter, let me address tariffs and the uncertainty surrounding new auto sales impact on our business. Big picture, we sleep well at night. We have modeled multiple scenarios, and we do not expect any material tariff-related impact to our subscriber results this year. Thanks to our robust recurring revenue model, increase penetration in the used car market, and enhance trial capture rates compared to past auto sales downturns. We believe we have built a resilient buffer against any potential reduction in new car sales. Looking at OpEx on the equipment side, we do not manufacture hardware for automakers. Any tariff exposure is largely indirect and limited to components sourced by automakers or their suppliers. So far, the impact on our OpEx has been negligible, though we continue to monitor the broader supply chain. And of course we are also watching overall consumer health and its impact on discretionary spending. To date, our strong churn performance suggests no meaningful change in consumer behavior, but we're staying vigilant and tracking trends closely. Looking at the first quarter, total revenue was $2.07 billion down 4% from a year ago, reflecting modest subscriber declines as we lap our toughest ARPU comp of the year, along with softer advertising trends across both of our segments. Net income was $204 million and adjusted EBITDA totaled $629 million down 3% from prior year, with margins consistent year-over-year at 30%. Free cash flow is $56 million down from $88 million in the prior year period, primarily driven by timing of payments, lower cash receipts, and higher capital expenditures, partially offset by the elimination of liberty-related deal costs. On the cost side, we began the year focused on achieving our $200 million run rate savings target by the end of 2025. So far, we've reduced costs by over $30 million contributing to lower expenses across marketing, product and tech, transmission, customer service, and G&A. Sales and marketing expenses were down 19%, driven by more streamlined media mix and tighter campaign execution. Product and technology expenses declined 15% and G&A decreased 3%, all reflecting our continued emphasis on operational efficiency and discipline cost management. Turning to the segments, in the Sirius XM segment, we generated $1.6 billion in revenue, a 5% decline year-over-year, primarily driven by lower subscriber and equipment revenue. Subscriber revenue declined 5%, reflecting a smaller average smaller average self-pay base and lower ARPU, and equipment revenue fell 18%, driven by changes in chipset costs and OEM production schedules. In this segment, gross profit was $937 million representing a strong 59% margin, down modestly from 60% last year. Self-pay net subscriber losses totaled 303,000, reflecting a 16% year-over-year improvement. Churn improved 18 basis points, rounding to 1.6% in the first quarter and was a key contributor to our improved subscriber results. We saw improvements in all 3 broad categories we tracked, vehicle-related, non-pay, and voluntary churn. We have successfully managed the recent price increases across virtually all of our full price plans with minimal churn impact thus far and are continuing to reshape our pricing structure to better satisfy demand at various price points. We continue to anticipate a slightly improving trend in our core in-car net editions for the full year. But as discussed on our last earnings call, our full-year results will likely include a couple of hundred thousand of additional drag from reduced streaming only marketing, churn pull forward relay the implementation of click to cancel, and shorter introductory self-pay promotional plans. ARPU in the quarter was $14.86 and while down 3% year-over-year, we expect year-over-year comparisons to become more favorable as the year progresses. Subscriber acquisition costs were $100 million up 11% over previous year's quarter, driven by contractual changes with certain automakers focused on improving penetration rates and higher chipset costs. SAC per installation was $18.86 further increased by the timing-related pullback in module production. Turning to the Pandora and off-platform segment, revenue declined 2% year-over-year to $487 million reflecting macro pressure in the digital ad market. Advertising totaled $355 million down 2% on that pressure, partially offset by continued growth in podcast monetization and revenue. To provide more color on the advertising business, we're seeing the most softness in the travel, auto, and retail sectors. Categories that tend to be early indicators of shifts in consumer sentiment. Broader economic uncertainty, including concerns about tariffs, has driven more spending towards short-term performance-driven marketing channels. At the same time, we're seeing pockets of strength in sectors like pharma and telco, which have helped offset some of the broader weakness. Big picture, we continue to see strong opportunities to invest in our ads business, particularly across high growth areas like podcasting, programmatic capabilities, and emerging video formats. Subscription revenue in the Pandora and off-platform segment remained relatively flat, and the segment's gross profit totaled $139 million for the quarter, maintaining a 29% margin consistent with last year's first quarter. Looking at CapEx, spending for the quarter totaled $189 million. As previously communicated, we continue to expect non-sat CapEx to remain in the $450 million to $500 million range for 2025, boosted by repeater and broadcast infrastructure replacements and partially offset by lower IT spending. Lastly, during the quarter, we returned $116 million to stockholders, including $91 million in dividends and $25 million through share repurchases. We ended the first quarter with a trailing net debt to adjusted EBITDA ratio of approximately 3.8 times and continue to prioritize a balanced approach to capital allocation. Our long-term leverage ratio target remains in the low to mid 3 times range. We remain focused on maintaining financial flexibility and taking a smart, consistent approach to capital deployment. Finally, we are reaffirming our 2025 full-year guidance, approximately $8.5 billion in revenue, $2.6 billion in adjusted EBITDA, and $1.15 billion in free cash flow. This reflects the company's continued confidence in our strong operational execution and cost management backed by robust free cash flow, continued operational efficiencies, and disciplined strategic investments, we feel great about our ability to generate long-term sustainable value for shareholders across a variety of economic environments. With that, I'll turn it over to the operator for Q&A.
Operator: Thank you. We'll now be conducting a question and answer session. [Operator Instructions] Our first question is from the line of Sebastiano Petti with JP Morgan. Please proceed with your question.
Sebastiano Petti: Hi, thank you for taking the question. Just thinking about the full-year guide, Tom, you sounded pretty confident in the levers in the business cost cutting opportunity, but just help us think about there's no tariff impact as you guys mentioned on the call, the price increase is now fully baked. ARPU comps are getting easier for the year and cost efforts are beginning to scale. The margins in the first quarter were flat year over year. The guide implies 140 base contraction. Why isn't there an upside to the 2025 EBITDA guide? What are we missing here? And then as we're thinking about the impact of digitally reiterated a couple of hundred thousand impact from click to cancel as well as the turn off of the digital, dialing back marketing efforts there. Can you perhaps maybe size the quantum of the digital loss within the first quarter as we're kind of thinking about it, because I think previous comments were first half is perhaps weaker year-over-year before improving in the back half of the year in terms of the self-pay net ad cadence. I just wanted to make sure if that's still the right way to think of that. Thank you again.
Jennifer Witz: Tom, you want to pick up the EBITDA?
Tom Barry: Yeah, so Sebastiano, when you look at the overall EBITDA, we've had a lot of moving pieces in there. There's obviously when you look at the revenue side and against the cost savings initiatives, we're on course and in Q1, I think we've done pretty well as far as where we positioned the business, and I think the cost savings will continue along the line and we're obviously heavily focused on maintaining the margin for the full year. So, when you look at the numbers, I think we feel comfortable with how the numbers roll up right now and I think there's not a lot of changes. We have some things moving back and forth. The cost savings are on target like I said in the script, so I think we feel pretty good as far as where EBITDA is positioned right now.
Jennifer Witz: Yeah, I think the guidance was designed very thoughtfully as you can imagine to take into account trends on subs, revenue, and cost savings, and as Tom mentioned, there's going to be continued improvement on the cost side heading towards this $200 million run rate exiting 2025 savings number. We also had some impacts in the first quarter of lower sales and marketing that we may choose to reinvest later in the year. We did discuss in earlier comments about the launch of low cost with ads and so there could be some reinvestment of some of those savings later in the year. But, the biggest opportunity for upside relative to the guidance likely is in costs overall. And then on your question about click to cancel, so that doesn't go into place across the U.S. until 2 weeks from now. We do have it implemented across a number of states and so we have some expectation about the impact of that. That's embedded in our current numbers and obviously we had very strong churn performance in the first quarter and it's included in that and we do think that rolling it across the U.S. will have incremental impact on churn this year. It's one of the 3 things we highlighted is having an impact on net ads this year beyond what's going on in the core. In the core, we would expect net ads to actually improve year-over-year, but for these 3 impacts of click to cancel, the streaming, net ad reduction, and the pull forward from using shorter term promotions, post conversion in trial -- in-car. So, the first quarter we did say if your question is really about streaming net ads, the first quarter streaming net ads were negative and that was offset by better, so lower losses on the in-car side of the business. And again, we feel really good about the subscriber trend line that we've talked about and overall guidance for the year.
Sebastiano Petti: Thank you.
Operator: Thank you. The next question is from the line of Kutgun Maral with Evercore ISI. Please proceed with your question.
Kutgun Maral: Good morning and thanks for taking the questions. Sirius XM subscriber results showed quite a healthy improvement compared to last year. I think churn specifically was very encouraging, and what [indiscernible] to me was that non-pay and voluntary were both lower year-over-year, and you noted that there's been minimal impact so far following the recent price ups. I'm not sure what more you can say, but any additional color would be much appreciated because of all the concerns around the macro and competitive backdrops and how we should be thinking about the trends going forward.
Jennifer Witz: Sure, we are very encouraged by our first quarter results and just how the metrics have trended even more recently. Obviously we're watching, things like cancel demand, cancel rate on the voluntary side, non-pay entry rates, cure rates, and demand metrics, and we really haven't seen anything to give us any pause. And I think a lot of it has to do with just our loyal core long-term subscriber base, where we have been seeing higher satisfaction and value even than ever before and consistently low churn, and I think that just decreases some of the potential impact from economic uncertainty on our subscription business. Just internal and external research both confirms very high satisfaction and engagement with our service among our subscribers. We see strength also in our engagement data, which we have more and more of obviously with 360L and listening outside the car through the app where we saw very healthy engagement in the first quarter and then again we just monitor the metrics, but we really haven't seen anything of concern and this is of course even or despite the rate increase that we implemented across full price packages in the first quarter. So, we really feel good about where we are on the subscription side of the business.
Kutgun Maral: That's great, thank you so much.
Operator: Thank you. [Operator Instructions] Our next question is from the line of Steven Cahall with Wells Fargo. Please proceed with your question.
Steven Cahall: Thanks. Jennifer, I was wondering if you could give us some more color on your new ad supported tier. So, is the subscriber acquisition process there any different versus your current paid tier, and is there any difference in how the cogs work for that in terms of like revenue share and royalties, I guess what I'm trying to get at is, it sounds like this should be EBITDA accretive. Is it margin neutral? Is it margin accretive or something different, and how significant maybe could that be this year and next as you start to lean into it a little more. And then maybe just another one on the self-pay net ad outlook, is there any way to just think about how we tie up all the things that are not related to in-car core trends, so between click to cancel, the promo impact, and the streaming-only impact, are we talking kind of single digit, hundreds of thousands of subs? Is it bigger or smaller than that? We just kind of love to understand that. And is that pretty much done after this year and then we don't have to worry about those things from 2026 on or do those linger?
Jennifer Witz: I'll start with your second question Steven on just the 3 things. So, the way we've been talking about it is that just without them, it would be -- we would be better year-over-year in terms of self-pay net ads, but the 3 things we've highlighted that you mentioned result in about a couple of hundred thousand incremental negative net ads this year. Some of those we would expect to roll into next year, but clearly something like short term promotions pull forward some churn, so that gets better when you look at year-over-year comps in 2026. And then we believe we have a number of initiatives in place to help improve the trend line. That's certainly our goal for 2026, including things like low cost with ads. And I'll let Wayne comment more on it. He's been key to kind of getting this off the ground, but I'm really excited about how the team has rallied around this initiative as we focus on opportunities to really super serve our core in-car audience. As you know, the time sat listening in car at 80% of that for 35 years old and up is AMFM and Sirius XM. So, we have a real opportunity here to take share from AMFM with the right price points and packages. So Wayne, do you want to talk more about that?
Wayne Thorsen: Yeah, thanks. And as you can tell, we are really excited about this addition to our business. Our plan is to roll this out in the coming months, but in a very targeted way, so while at the same time testing a few different prices and packages, we're expecting to land in the high single digits in terms of price and as Jennifer noted, this is going to be available from the beginning in almost 100 million vehicles and available to all new car trailers. So, the addressable opportunity is quite large, but we're going to be using our new marketing capabilities to target in a very thoughtful way on how this is offered and to whom. So, the goal here is to offer this to cohorts that we've identified who do not convert as well or who are generally more price sensitive. And so the goal here overall is to increase yield in our overall funnel and looking forward to reporting back as we make a little bit more progress.
Jennifer Witz: Yeah, and just to your margin question, yeah, our margins are very high as you know, our variable margins across all of our packages, and I don't see this as being any different. I would expect it to have more impact next year than this year, because we're still in test phase and ramping up later this year.
Operator: The next question is from the line of Jessica Reif Ehrlich with Bank of America. Please proceed with your question. Hi Jessica, your line is live for questions. Perhaps you're muted.
Jessica Reif Ehrlich: Sorry, can you hear me now?
Operator: Hi Jessica, we've got you.
Jessica Reif Ehrlich: Yeah, okay, so sorry about that. Good morning. So, 2 things. One, advertising is clearly going to become a more important component of revenue. What changes are you making, if any, to your sales approach, whether it's direct sales, programmatic, etc. And then the second thing is just in podcasting. You've made an investment. Can you just talk about like how you are monetizing across different platforms, the talent that you have, and how much bigger do you hope [indiscernible].
Jennifer Witz: Sure, I'll start Jessica. First on podcasting, it's one of the larger investments we've made over the last few years, and I'm really pleased with how we've executed here. As you know, it supports certainly the ad side of our business, but we also have exclusive content on the Sirius XM side of the business and we've launched the podcast plus subscription, which is distributed across multiple other channels. But on the ad business, it has the largest impact and you saw the numbers in the first quarter, revenue was up 33%, so we feel really good about the trend line here and a lot of that does have to do with selling across channels where creators are pushing their content. So, whether that's audio podcasts, video podcasts, video clips, or social, we've been able to offer packages to advertisers to extend their reach alongside the creators that they respect and value and ultimately improve their campaign performance. So, we've had really strong interest in that among marketers. I don't see that dampening at all given the general environment, which is maybe impacting other parts of the ads business more than podcasting. There's a very strong trend line there. There's of course always more we can do in terms of bringing more self-serve solutions and better bringing targeting and measurement into our portfolio, so that advertisers can really buy across the portfolio. So, going to your first question about our sales approach, Direct is still a very significant effort for us, and I think the programmatic we've had long term success with and continue to see strong demand there. It's especially helpful to have the capabilities there in an environment where marketers might be sort of waiting to deploy budgets and we certainly saw that at the end of the first quarter where programmatic started to rise towards the end of the quarter and continue to see sort of late booking. So, having those capabilities in place is incredibly helpful, but again there's more we can do to build out self-serve capabilities, so that we can be more appealing to a broader set of marketers.
Jessica Reif Ehrlich: Thank you.
Operator: Our next question is from the line of Stephen Laszczyk with Goldman Sachs. Please proceed with your question.
Stephen Laszczyk: Hey, great, thanks for taking the questions. Jennifer, maybe on pricing. I'm curious if you talk a little bit more about the receptivity you're seeing to some of the pricing increases. It sounds like the value exchange that you pushed down late last year, early this year has really been helping on uptake and just curious in the back of that how perhaps we should think about the pacing of pricing increases on ARPU throughout the year, and then just to double click on advertising, more of a real-time basis, curious what you're hearing from your advertising partners as they settle in here past the first few weeks of tariffs volatility, how it trends early into the second quarter compared to what you saw coming out of the first quarter.
Jennifer Witz: Sure, the rate increase went into place in early March and across our full price packages and you know it was anywhere from $1 to $2 depending upon the package as we wanted to align prices with our all in pricing we put in place the middle of last year, so fairly significant for us and we've seen very little negative impact, of course it's still early, but we do have majority of our subscribers on monthly plans. So, it is pretty fully ruled out as we go into the next few months. I think, a lot of times we see the reaction when we send the notices out about the rate increase as opposed to when the increase actually goes into effect. And so we have a pretty good read on consumer response and it is exactly what you mentioned, I believe, that has helped us through this, which is we pushed a lot of value down to those packages in the fall, and we actually saw a lot of engagement with that newly added content among those subscribers. So again, I feel really good about this. I think in terms of the ARPU comps, as we said, first quarter was tough as it just went into place late in the quarter, but we would expect the trend line to get better as we go throughout the year, and then on the ad side, I would like Tom talk about the categories, but I would just say it's hard to get a read on it, clearly the news changes every day, every week, and I think we're just pleased with the portfolio we have to be able to optimize across, broadcast streaming and podcasting and certainly kind of the dynamics on podcasting make us very attractive to marketers overall. You want to talk about the categories?
Tom Barry: Good morning, Stephen. So, looking at the categories, when you look at where we are in ad sales, Jennifer articulated appropriately. I mean, I think -- we're seeing, we're cautious, but you look at the -- we have a fairly solid quarter in Q1, we're seeing a little bit of pull back on the travel and the auto in some level of the retail. So, we are seeing some softness on that side, but we are also seeing strength on the telco side and pharma. So, we have a broad portfolio. We are obviously in this period of tariffs and volatility, our sales team is working hard and trying to react to the market space, so it'll be ongoing and we'll continue to press it.
Stephen Laszczyk: Great, thank you both.
Operator: Our next question is from the line of Barton Crockett with Rosenblatt Securities. Please proceed with your question.
Barton Crockett: Thanks for taking the question. I was wondering if you could maybe elaborate a little bit more on the statement that you don't see real kind of risk from tariff impacts on the car market. I understand the confidence, but I'm just wondering if you could unpack, you said you looked at a lot of scenarios, if you could unpack the scenarios you looked at and how you came to that conclusion. And also I think you were very particular in your verbiage you don't see an impact this year. It's part of this that you know with your long kind of trials that some of the impact would be pushed into next year. Is that part of it if you could explain that'd be helpful.
Jennifer Witz: Sure, I'll start on this one. So, I think certainly as we've seen in the past with a reduction in car sales, the near term impact is generally less vehicle related churn right, as our subscribers are not trading in cars and therefore canceling their subscription and going on a trial. So that's what we would expect in the near term, and then the question is really how does the -- how to lower auto sales, if that's truly what happens, continue in the future years, right? So, what's the trend line? And if there was a very long term, notable reduction in auto sales, then I would be more concerned for the business, but our expectation is that new car sales, if there is a reduction, will be in part offset by used car sales. We have a very strong representation of used car sales in our funnel. We've added data partners to help us identify when those cars trade hands and we're able to increasingly offer trials and we've seen that materialize and have been better gross ads essentially in our business and so I think from a subscriber standpoint there could be some near term positives and then maybe some slight longer term negatives financially without the fact it'll be positive, but in general we would believe that the new car sales reduction would be in part offset by used. Even without that, we still have high confidence in the financial and subscriber metrics for this year and likely next year as well.
Barton Crockett: Okay, and if I could just follow up, I'm just curious if you could elaborate a little bit more on what you're hearing right now from your automaker partners in terms of, things are very fluid, if you could give us any more recent update on what you're hearing from them in terms of their expectations for new car sales and the possibility of an offset from used car offsetting some of the new car pressure potentially.
Jennifer Witz: I mean, we're hearing, I think what you're hearing just the public statements and obviously I guess, April SAAR will come out later today I believe, but March was very strong. There's been a lot of pull forward in terms of consumers buying ahead of an expectation of perhaps price increases. So I think, we're watching the public news as much as you are and obviously it continues to evolve, but again, I think some pull forward also offsets any potential negative that might happen over the course of the year.
Barton Crockett: Okay, that's very helpful. Thank you.
Operator: Our next and final question is from Cameron Mansson-Perrone with Morgan Stanley. Please proceed with your question.
Cameron Mansson-Perrone: Thank you, one follow up just on the price hike, pretty encouraging churn result, in conjunction with that, Jennifer, I'd be curious to hear, should we expect looking beyond 2025, should we expect still that you continue kind of in every other year cadence to price taking, or does the response among the subscriber base. This quarter recently changed the way you're thinking about kind of the broader pricing philosophy longer term and then for Tom, you're pretty clear that tariffs, you don't expect to have any impact on the OpEx based subs, but I'd be curious, I'm assuming for your satellite contracts those are large largely contracted, but for the non-sat CapEx, any thoughts on risk or not to any tariff impact there.
Jennifer Witz: So I'll start on pricing. Our goal is kind of every other year and we will continue to evaluate that. There may be opportunities to take price on certain packages, but not all of them, so there's some form of a price increase every year, but we haven't established what we're going to do going into next year. We're watching obviously reaction really closely while I have a lot of confidence in the loyal nature of our subscriber base. Yeah, I think we want to be mindful of the economic environment clearly, and I think part of what we're doing is, as you can tell, increasing the breadth of the pricing and the packages that we have in markets, so that we have the flexibility to offer consumers, who might be more price sensitive, one of those lower price package is that is on an ongoing rate as opposed to a short term promotional discount. So again, building out this broader pricing and packaging structure I think helps us meet demand and help with retention across a number of different segments. Tom, do you want to address CapEx?
Tom Barry: Yeah, sure. Yeah, Cameron looking at CapEx, on the satellite side you're right, the satellite infrastructure and IT systems are principally U.S. sourced, so we don't see a lot of risk there from tariff standpoint. Some of the terrestrial repeaters actually come from Canada, but for the most part we feel limited, very limited exposure on the sat side. On the non-sat side is a lot of labor and other components and I think in the last 6 months as Wayne's assembled his team and arrived, we spent a lot of time going through non-sat CapEx, and we feel that we've stress tested the components of it and we feel very comfortable with the tariff impact.
Cameron Mansson-Perrone: Very helpful. Thank you both.
Hooper Stevens: Thanks everybody for participating today and we'll look forward to speaking to you soon. Take care.